Operator: Good morning, ladies and gentlemen, and welcome to Hypera Pharma's Conference Call where we will discuss the earnings for the third quarter of 2025. We have with us Mr. Breno Oliveira, CEO; and Mr. Ramon Sanches, CFO and Investor Relations Officer. We would like to inform you that this event is being recorded, and you may watch a recording of this video on the company's Investor Relations website, ri.hypera.com.br. [Operator Instructions]. Before we continue, we would like to highlight that some of the information in this conference call may include projections and statements about future results. This information is subject to known and unknown risks and uncertainties that may make these expectations not come to pass or to substantially differ from what was expected. We will now hand it over to Mr. Breno Oliveira, who will begin the company's presentation. Go ahead, sir.
Breno Pires de Oliveira: Good morning, and welcome to the Third Quarter 2025 Earnings Call. We're going to start on Slide 3. This is the first quarter after concluding the working capital optimization process that was started last year. And results show that this was implemented successfully. There was no impact to sellout. We conserved profitability, and we had a significant improvement in our operational cash generation. And we've also maintained investments and shareholder remuneration as planned last year. Sell-out went up nearly 2 percentage points above the market and nearly 3 percentage points above our growth in the second quarter. Our highlights were influenza medication, pain killers, gastric, cardiology, skin care and hydration. This acceleration in sell-out and market share gains are a result of the recent initiatives to strengthen our portfolio of leading brands with new launches and more investments in marketing in points of sale and digital media. We've maintained our operational profitability, reaching an EBITDA of nearly BRL 760 million with a 34% margin. This level is similar to what we had before the working capital optimization process, and it is higher than last quarters. We reduced investments in working capital as a percentage of net revenue to 30%, the lowest in the last few years. This has been led especially by reduction in accounts receivable, which was at 58 days at the end of the quarter. This quarter, we combined sell-out growth, profitability and strong operational cash generation, sustaining shareholder payouts and strengthening our corporate governance and I'll go into details about that on Slide 4. We approved payments of BRL 185 million. And we've updated the committees in the company to strengthen the governance and the technical competence of these committees. Ramon will continue with more details about this quarter's results.
Ramon Frutuoso Silva: Thank you, Breno. Good morning, everyone. We will begin on Slide 5. Our net revenue went up 16% to BRL 2.2 billion, a result of the combination between sell-out growth in retail and a reduction of 4% in the institutional market. This reflects a lower level of sales to the public market. And this improved our performance due to the optimization process concluded in the last quarter, and it was started in the third quarter of 2024. As I mentioned in the last call, our expectation is to combine sustainable growth of sell-out with maintaining operational profitability and thus conserving our margins. Gross margins were 61.2%, slightly higher than the second quarter of 2025 and the third quarter of 2025. And this was benefited by a mix in products sold that was not impacted by the working capital optimization strategy. Marketing expenses came to a total of BRL 367 million, the same level as the last 3 quarters and it was mostly more directed to digital media. Selling expenses were 5% lower than what was posted in the third quarter of 2024, showing a reduction in R&D expenses, which had a positive impact by the [indiscernible] benefits and also some synergies from the sales structure reorganization carried out in the first quarter. General and administrative expenses went down to BRL 85 million as a result of better efficiency in expenses with teams. Therefore, our EBITDA margin from continuing operations reached a -- reached 34% converted into cash flow this quarter, as I'll mention in the next slide. We also reduced investments in working capital, representing 30% of our net debt at the end of the third quarter. Last year, we had been investing half of our net debt into working capital. This reduction has led us to the lowest historical level of operational cash with a growth of 16% versus the third quarter of 2024. We invested in CapEx for the scopolamine extraction plant. That's the raw material behind the Buscopan brand and the Itapecerica plant, which will produce the products acquired from Takeda. Intangibles were BRL 55 million. This is mainly innovation, research and development. We also concluded the 20th debenture issuance with a term of 5 years and the lowest historical spread, CDI plus 0.75%. This issuance is being used to pay the higher spread issuances, allowing us to extend the average term of our debt. With that, the company's total cash generation was BRL 630 million, which reduced our net debt to 7.3 or 2.4x our annualized EBITDA for the quarter. Now we will hand it over to Breno for his closing remarks.
Breno Pires de Oliveira: Thank you, Ramon. What we saw this quarter was a good summary of our long-term strategy, growth with profitability and strong operational cash generation. We accelerated our retail sellout growing nearly 2 points above the current market, and we increased our investments in leading brands without compromising our profitability. We also reached the highest operational cash flow in our history. We have many opportunities to grow sustainably on the short and medium term, extending our leading brands and launching products in new markets, including those that will no longer be exclusive such as semaglutide. Our pipeline for the next years has several products across all of our business categories. They are selected carefully in order to maximize value generation for our shareholders. We are the only company that has a leading position across all segments in the pharmaceutical industry. And with our leading brands and our innovation pipeline, we are well positioned to capture growth opportunities in the medium and long term. Thank you, and we will now continue with the questions-and-answer session.
Operator: [Operator Instructions]. The first question will be asked by Mauricio Cepeda from Morgan Stanley. Go ahead sir.
Mauricio Cepeda: We have a few questions about the future. Semaglutide is nearly having its patent expired. And I know that this will be an important moment for you as a competitor in the generics market. So I'd just like to ask a few things about how competitive you believe this market will be. We know that ANVISA gave some registration priority to local production and you are licensed for that. So are they considering other stages in the production? And have you received a position from ANVISA about that. Also, one of the concerns we've seen for semaglutide globally is the production bottleneck. It seems to have many bottlenecks, the pen, the purification stage. So do you have any confidence in the supply from your licensor? And do you think there could be bottlenecks in the purification stage and in the production of the pen? And if there is a shortage in the industry, is the -- can the original price of the generics be higher?
Breno Pires de Oliveira: Cepeda, considering some points in your question. Just one clarification. We're not trying to license it. We have a partnership, but the product is ours. It's -- the registration belongs to Hypera. And we have a third party manufacturing it for us. This is different from licensing. Also, we don't intend to place this in the generics market. Our goal is to have a brand, have a branded product. We would have medical visitation teams. So there is space for more -- better margins than just having a generic approach. Considering availability, we don't have any indications from our partners that amounts will be limited. In fact, we've been talking about these amounts for initial requests, and there's no indication that this would not be met. I think the timing for the patent expiring is good because Brazil will be one of the first countries in which the patent will be expired. So production could happen here in Brazil. If this happened in other developed countries, I think that could be an issue. Concerning the priority Q, I'm not going to go into details, but we wanted to launch it as soon as the patent breaks. We believe that the first players to launch will have a competitive advantage, and that will be significant, especially in the beginning, right, because the market will be less competitive. And also, they will be able to establish their brands. In the future, when there are more competitors, they will have a stronger brand position because of that. As you know, this is a big market. We have GLP-1 market and the most recent figures are around BRL 10 billion per year. So semaglutide is about half of that 8%. So there was no opportunity -- there was never such a big opportunity than what we will have, and we're working to launch a product as soon as the patent expires. There are many risks, especially timing, registration, but we're confident that we have a very strong dossier. And we believe that we'll have approval to sell after the patent expires.
Operator: The next question will be asked by Mr. Bob Ford from Bank of America. Go ahead sir.
Robert Ford: Congratulations on your results. Well, there are several other molecules whose patents will expire next year. What are you thinking about the rest of the pipeline for 2026?
Breno Pires de Oliveira: Bob, yes, this is a great opportunity. Semaglutide is a major opportunity for Hypera and for new entrants. But like you said, there are other products. We're trying to develop new projects that were started 3 or 4 years ago. We have some impacts from ANVISA because their approval times are a bit longer than when the business cases were created. But we're making a big effort with ANVISA, with the new directors and the new head so that, that can be reduced. So we hope that this line will be reduced and that we can launch things beforehand. But there are products like [indiscernible] and other major products that we will have an opportunity to use. Their patents have either been recently expired or will expire very soon. And also, it's important to say that our pipeline is not limited to medications whose patents have expired. There are many other products that we can invest in and we vested in the past. One examples of the over-the-counter muscle pain market. So we invested BRL 1 billion into muscular Neosaldina, and it's doing very well according to our plans here. We also went into the probiotics market, which has over BRL 400 million with Neogermina and Tamarlin Germina. These are also doing very well, but this takes time to mature. So the cough market, we are already working in, but we should start with a new molecule with a BRL 400 million market. So these are many other markets, just as examples that have no patents where we have been investing with line extensions. There's one more major market for medical prescriptions for vitamin B12. This is a big market where there are no patents, and we're also working hard to go into it. So our R&D has several fronts, business development. We are looking at patent breaks, of course, but we're also looking at major markets in Brazil that haven't -- that where we don't work yet. We're going to start hearing the results from these investments, and we'll start to understand the results of these investments.
Operator: The next question will be asked by Gustavo Miele from Goldman Sachs.
Gustavo Miele: I'd like to talk about 2 things with you. So considering sell-out, when we talk about this market, we know that this was a tougher winter this year. Hospital occupation rates were higher. Is that reflected in your operations? We see that influenza medication has performed better this quarter, but how relevant was it this year versus the last few years? I think that will allow us to understand the sellout effect this quarter. Also, if I could ask about October, I know that it's still early, but if you're seeing sellout rates similar to what we saw in the third quarter and if the winter has impacted it. Also, I have a question about the [ Lei do Bem ] and why it was higher this quarter, BRL 38 million. I'm just trying to understand the concept. Maybe this could be a good reference for the fourth quarter.
Breno Pires de Oliveira: I'll answer your first question, and Ramon will answer the second one. So about sell-out for the third quarter. The winter has been a bit tougher this year than the last 2 years, but I wouldn't say it's higher than average. The growth in the second quarter was higher. It was about 20%. But on the other hand, pain killers and -- had a lower growth in the second quarter. So our biggest over-the-counter categories grew about 7%. So growth was about 7%, and we were able to gain market share across all of these categories. So it's hard to foresee, but we still see an impact from the temperature variation is also impacting October and growth has been in line in October. As you said, these are still preliminary figures, but we have been seeing growth levels similar to what we had in the third quarter. Ramon will answer your second question.
Ramon Frutuoso Silva: Considering the [indiscernible] , we did have a higher rate this third quarter. This benefit depends on 3 main factors. First, expenses with innovation; and second, the real income for this period. So the real income was higher this quarter, which has resulted in this higher benefit. But this value is what we expect for the year. So for the fourth quarter, this benefit will be lower. And this impact is more regular with what we expect to see looking at our history. This higher value was a one-off this quarter because of the factors I mentioned.
Operator: The next question will be asked by Mr. Lucca Marquezini from Itau BBA.
Lucca Marquezini: We have 2. First, about cash generation. So looking towards the future, I would like to ask if it makes sense to consider a drop considering OTCP payments? That's my first question. And also, I have a question about the institutional market. There was a drop due to lower level of sales. I would like to know if this is a one-off or if we should expect that for the next quarters.
Ramon Frutuoso Silva: Lucca, this is Ramon. So considering cash generation, it was high. We captured this benefit from the working capital adjustment. So we do expect to see a reduction in operational cash flow, considering free cash flow or the total cash generation, excuse me, it will be a bit lower due to the dividends being paid out, as you mentioned, the OTCP payments that is done every fourth quarter. And Breno will answer the second question.
Breno Pires de Oliveira: Considering the institutional market, we saw a deceleration in the market because of the performance of the government, and this also impacted several national companies, not only ours. But we've been seeking short-term alternatives to minimize this effect. We're trying to be more competitive in prices for some specific molecules that we have the production capacity for where we have some idle capacity and a potential of generating profits even being more aggressive commercially. But that's for the short term. For the medium and long term, our institutional focus is the private market. So increasing our participation in the private market through development, our medication pipeline, we've had 4 or 5 launches that are performing according to what was foreseen, reaching market shares of 5%, 10% across the categories that we recently entered into. So over time, growth in the institutional market will be much more in the public -- excuse me, in the private than the public market and in more strategic categories in the future, such as oncological and biological drugs. We're starting to see the first products in those categories in 2026. That was very clear. Thank you.
Operator: The next question will be asked by Mr. Leandro Bastos from Citibank.
Leandro Bastos: I have 2 questions. First, I'd like to ask about R&D. You mentioned the effects from the [ Lei do Bem ], but we see investments in R&D and intangibles very similar to what we had in 2022. So I'd like to ask about the pipeline opportunities and so on, if you are running at an optimal R&D level or if we should expect any accelerations in the future? That's the first point. My second question is, we saw high discounts this quarter, still a bit above sell-out. So I'd like to get an update on that competitive dynamics and the company's strategy on the commercial side.
Breno Pires de Oliveira: Leandro, I'll take the first question, and Ramon will answer the second one. About the R&D level, we think that the current level, although nominally, it is not growing, it's at an optimal level. So basically, revenue has been going up. Our R&D has been working deeply on that, on sales. The full team is still working. And we've been focusing on, one of the things we learned in the last few years is to focus on more relevant projects. We're also looking at this from a marketing context. The launch is not just about a new product being successful. It's not only about R&D. We have to do the launch plan with investments in media, working with clients to position these products as soon as we can. And on the prescription side, the medical promotion so that these medications are promoted in a relevant way. And so that will lead to increase in sales. So our pipeline has not changed especially when you have pilot batches and clinical studies, it varies. But in the -- but also in the number of projects. This is at the same level still. Ramon will answer the second part of your question.
Ramon Frutuoso Silva: Leandro, to answer your second question, this increase in the discount is related to a variation in the product mix. We had above-average sales in generics and similars, and we don't expect a huge variation from that level for the next quarters.
Operator: The next question will be asked by Mr. Samuel Alves from BTG Pactual.
Samuel Alves: We have 2 questions. First or rather both of them are related to working capital, which was more positive this quarter. The first question is about CapEx. We noticed there was a drop of 11% when you look at CapEx as immobilized tangibles year-on-year. So if you could talk about the seasonal pattern for this CapEx for the rest of the year, if we should expect a deceleration and be executed versus the budgeted for the rest of the year? That's my question about CapEx. Secondly, the company had robust cash generation this quarter. And the suppliers line was very helpful at doing that. We saw an improvement year-on-year and quarter-on-quarter. So I'd just like to understand if any credit was granted or if there was any outside factors this quarter that helped in this cash generation. That's all. Thank you.
Ramon Frutuoso Silva: Samuel, this is Ramon. First, about CapEx. This was aligned with what we expected in our budget for the quarter and it's a level that is very similar to what we expect to see. To answer your second question on suppliers, we started buying inputs in a more normalized way after this working capital adjustment, so more in line with the sell-out rate. When we reduced inventory in channels, we also reduced some expenses that we did not expect. And these purchases were concentrated in inputs with lower terms or shorter terms, excuse me. So as we go back to the normal sellout level, we have longer terms. This impact came from the mix, and this will benefit our cash flow for this quarter specifically. There were no changes in these credit sessions. I mean, if you look at the levels, it didn't change that much. So we didn't change it. This impact is coming from a change in mix quarter-to-quarter.
Operator: This concludes the company's question-and-answer session. We will now hand it over -- we'd like to thank everyone for participating and wish you a good day.